Operator: Good day, and welcome to the DTE Energy Second Quarter 2012 Earnings Release Conference Call. Today's conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Dave Meador. Please go ahead.
David E. Meador: Thank you, Evelyn, and good morning, everybody, and thank you for joining us for our second quarter earnings call. Looking at Page 2 just briefly before we get started, I encourage you to read the Safe Harbor statement, including the reference to forward-looking statements. And if you'll turn to Page 3, with me this morning are Peter Oleksiak, our Vice President and Controller; Nick Khouri, our Vice President and Treasurer; and Mark Rolling, our Director of Investor Relations. I also have some members of the management team with me in the room and on the phone if needed during the Q&A period. But before I jump into the second quarter, I'd like to take a moment just to update you on some recent announcements and management changes here on the finance and regulatory team as we continue to build and sustain just an outstanding finance and regulatory group. Effective September 1, Peter Oleksiak has been promoted to Senior Vice President of Finance, and he'll have responsibility for the controller's organization and treasury, which includes Investor Relations. Nick, who has been our Treasurer for over 11 years now, will assume the role of Vice President of Regulatory Affairs. And Dan Brudzynski, who is currently in the regulatory role will replace Nick as Vice President and Treasurer, and Dan will also have Investor Relations reporting to him. So Nick and Dan are effectively trading places. With these changes, this marks the last quarterly earnings call for Nick in the Treasurer's office and I want to take a moment to express my appreciation to Nick for the passion and expertise he's brought to the Treasury group and the important role that he's played in working with the management team, the Board of Directors and the financial community to help DTE Energy achieve some great successes over these years, including pulling through some of the toughest economic times like 2008 and '09 that hopefully, we will ever see in our life. Many of you have met Dan, and he's been involved in a number of Investor Relation events over the years, and you can look forward to seeing him going forward. And finally, congratulations to Peter on his well-deserved promotion. And you're not going to lose sight of Nick. He's only 50 feet from my office and he's going to continue to be involved with the investment and credit community. So turning to Page 4. This morning, we're going to cover our second quarter results and give you an update on some growth projects at our utilities and the nonutilities. So let me kick this off then on Slide 5. We like to ground all of our discussions with investors in what we call our investment thesis, as we believe this concisely summarizes the compelling reasons to invest in DTE Energy. We have a disciplined growth plan that'll provide a 5% to 6% long-term earnings growth per share. And when combined with our attractive dividend, provides a 9% to 10% total shareholder return. And all of this is underpinned by one of our key priorities and that's maintaining a strong balance sheet. Both utilities have robust growth plans. At Detroit Edison, the growth is driven primarily by mandated environmental controls and renewable energy. While at MichCon, the growth is driven by infrastructure investments, including cast iron main replacement work and a program to move gas meters that are currently inside customers' homes to outside customers' homes. We have a constructive regulatory structure in Michigan, which is supported by a solid legislation that was passed in 2008. And we know it's our responsibility to earn this construct every day. We utilize our continuous improvement capabilities in everything we do to control cost and we are very focused on minimizing rate increases to our customers and providing our customers with a great level of service they deserve. We continue to see attractive growth opportunities in our non-utility businesses as well, particularly in the Power & Industrial group and the Gas Storage & Pipelines. And I have some updates that I'll share with you this morning on those businesses. So if you'll turn to Page 6. I'll provide an overview of the quarter. Our operating earnings per share for the second quarter came in at $0.86 compared with $0.65 in the second quarter of last year. Like much of the Midwest, the summer here in Michigan is off to a warmer-than-normal start, and actually we're on a track to possibly one of the warmest summers on record. And that translates into strong earnings at Detroit Edison. As a reminder, Detroit Edison was decoupled for weather during the second quarter of 2011. So if you're looking at quarter-over-quarter, year-over-year analysis, the warm weather last year didn't flow through to the bottom line. Earnings at the Power & Industrial projects were up over the second quarter of last year and that's driven by the REF business line that's ramping up. And tough market conditions made it difficult for Energy Trading to generate margin in the second quarter. Peter will take you through some of the details on the quarter in a few minutes. So with the first half of the year behind us, I am reaffirming our full year operating guidance of $3.65 to $3.95 per share. As I will describe later, I'm confident of the midpoint of $3.80 and we could deliver higher than midpoint earnings, and we'll talk about that in a little bit. In June, our board approved the 5.5% increase in our dividend to an annualized rate of $2.48 beginning in October. This gives us a compounded annualized dividend growth rate of 5% over the last 3 years and demonstrates our board and our management team's confidence in our long-term growth plan. The balance sheet remained strong and we generated over $1.2 billion in cash from operations through the first half of the year. In June of this year, Detroit Edison raised $500 million of 10- and 30-years secured debt at the lowest rates in the company's history. The proceeds from that debt offering will be used primarily to refinance higher cost debt, which is maturing or is callable later this year. On another topic, we have also been very clear about our strategy to exit the E&P business by selling our assets in the Barnett Shale. And we started talking to you last year about the shale formation called Marble Falls, which is just above the Barnett formation. DTE has been a front-runner in this newly emerging oil-rich play. As we prove up the acreage, we've had moved way up the learning curve and that we're now seeing top-tier returns from our vertical wells there. We recently concluded a study that shows a 50% increase in our total reserves over 2011, including 114% increase in the crude oil reserves. And you'll find additional details on the Barnett Marble Falls assets in the Appendix on Slide 22 and 23. We intend to go to market with these assets later this year and we will keep you posted on our progress. And EEI is going to be a good time to give you an update on this and some of the other things that we have underway. Shifting to areas of growth for the company. In the second quarter, our Gratiot County wind park became fully operational. This is the largest wind farm in the state of Michigan, with 212 megawatts of generating capacity. Construction is underway on our 110-megawatt thumb wind parks, which includes 3 sites in Huron and Sanilac Counties. And in addition to those 2 projects, we recently announced another 110-megawatt wind development in Huron County, which will be constructed in 2013. All of these projects demonstrate the significant progress we're making in achieving the 10% renewable energy standard in Michigan by 2015, which we think is a good standard and a sensible approach to approaching renewable energy. On the non-utility side of the business, we're very excited about the growth potential surrounding the Gas Midstream assets we have in the Marcellus Shale region. Our first major project that we've been talking to you about is the Bluestone lateral and gathering system. And that project's moving along nicely. The anchor tenant on the project has been seeing some very positive results in their drilling, so we continue to be optimistic about the opportunities that we have in this area. As we work our way through the final stages of the right-of-away and permitting process and then move into the construction phases, we're still targeting the pipeline to go in service in the fourth quarter of this year. In the P&I segment, we're pleased with the performance and throughput at the 5 sited REF reduced emission fuel machines, and we're making good progress inside in the remaining 4 machines. In fact, the first of the 4 is being relocated as we speak and should be up and running in the third quarter. We also have completed negotiations with the host utility on the second of the 4 machines that will be relocated, and we expect to finalize agreements and begin moving that machine soon. And we're engaged in advance discussions with several other potential host sites for the last 2 machines. So our relocation process is on track and the goal is to have all of the REF machines sited and operational by the end of the year, which will provide a nice earnings bump in that segment for 2013. And for some new news in the P&I segment, we've shown you the forward projection goals that we're pursuing for this business, where we want to drive the earnings for $50 million this year to $125 million by 2016. And the step that we made is an acquisition of an on-site business line that we recently agreed to purchase from Duke Energy for a little over $200 million. So this is a portfolio of on-site energy projects. These projects are primarily located in the Midwest and mid-Atlantic regions and they provide on-site utility and energy services. They're very similar to our existing on-site projects, and they represent assets and equipment and technologies that we have extensive experience in. This acquisition will effectively double the size of our on-site business and expands our customer base broader into the Midwest. We target returns on these contracted services that are above our utility returns. And in addition to that, we get very good strong cash flows. So we see these projects making a significant contribution towards our goal of growing the P&I segment to $125 million in operating earnings by 2016. The acquisition will be funded by the parent, off our balance sheet by the end -- the exact details of the funding requirements and timing has not yet been determined. And the deal is not closed yet, it will close later this fall. So we still anticipate that we'll stay within our balance sheet targets even with this acquisition. And we do not see the need to raise equity beyond the $300 million requirement that we've communicated to you in 2012. Turning to Page 7, and talk a little bit about guidance. With half the year behind us, we remain committed to our full year 2012 earnings guidance. Detroit Edison came into the year with a plan that targeted that's authorized return on equity. And with warmer-than-normal weather we're experiencing during the second quarter and then through the month of July, we now expect to see Detroit Edison come in above the upper end of the guidance range. Some of the July's weather favorability will be offset by increased storm cost as a result of significant storm activity we experienced in the beginning of the month. While Detroit Edison has benefited from weather this year, MichCon continues to dig out of the hole created by the extremely mild winter. Quite frankly, MichCon is going to need to work hard to reach the low end of guidance for the year. But with continuous improvement work that we're doing and onetime cost actions, we think the bottom ends of the range is achievable. With some revenue opportunities at Gas Storage & Pipelines, we expect them to be at the upper end of the guidance range, which will help offset some of the challenges of MichCon. And we continue to ramp up the REF business line and what we see is the P&I segment is going to end towards -- near the top end of the guidance range for the year. Energy Trading. I had already mentioned, Energy Trading turned in modest results for the quarter and it's still not at the level we would like to see. So for the year, we're signaling that Energy Trading will likely not reach the lower end of its guidance range. And due to the shape of the roll on that we would see for the rest of the year -- the remaining profits that we would see for the remainder of the year, a good portion of that's going to be back-end loaded and will show up in the fourth quarter. And finally, we expect the holding company to have improved results over last year, driven mainly by lower interest rates from the refinancing that we've been actively doing. So in total, we are committed to our original operating earnings guidance range of $3.65 to $3.95 and the favorable weather continues that we've been seeing at Detroit Edison, we could be above the midpoint of that range. Before I hand it over to Peter, I would like to give you an update on the regulatory item that we discussed in the first quarter. As you may recall, back in April, the Michigan Court of Appeals issued a decision that the MPSC had exceeded its authority when it authorized Detroit Edison to adopt the revenue decoupling mechanism. As of the first quarter, Edison had accrued $127 million as a regulatory liability related to the pilot revenue decoupling, and this predominantly represented weather in prior years. The MPSC has until Monday to appeal that decision to the Michigan Supreme Court. And we won't know until then what the commission will or won't do. If the commission appeals the decision, there could be some time before we learn of the Supreme Court even will hear the appeal. And if the appeal is taken, it's likely that it could take months to years before it's completed. On the other hand if the MPSC doesn't appeal, we will propose an alternative to the commission that will support our regulatory strategy for Detroit Edison. Our goal is to minimize rate increases to customers, while achieving our financial objectives. That said, the $127 million could be a key component of a plan to potentially push the need for base rate increases at Detroit Edison out to 2015. So with that overview, let me pass it over to Peter, who will take you through some additional details on the quarter.
Peter B. Oleksiak: Thanks, Dave, and good morning to everyone. I'll just start with Slide 9 and our second quarter operating earnings per share by our segment. For the quarter, DTE's operating earnings were $0.86. Detroit Edison contributed $0.74. MichCon, which typically incurs an operating loss for the second quarter, came in at $0.02 of income, and I'll talk a little bit more about that in a minute. The non-utility segments combined to earn $0.17. The driver for the non-utility second quarter results were Gas Storage & Pipeline at $0.10. Power & Industrial projects at $0.06, Energy Trading at $0.02 and Unconventional Gas Production at $0.01 loss. Finally, corporate and other had a loss of $0.07 in the quarter. Let's move to Slide 10 and the summary of our quarter-over-quarter performance by segment. Operating earnings for the consolidated DTE Energy are up $35 million for the quarter. Detroit Edison's operating earnings were $127 million, up $27 million from the prior year. We have provided a quarter-over-quarter walk in the Appendix in Detroit Edison for reference, but the message was pretty straightforward. The favorability is primarily driven by warmer weather in the second quarter of 2012, paired with the elimination of the revenue decoupling mechanism. In addition, Detroit Edison's renewable investments provided incremental earnings as we continue to execute our investment plan there. July is also shaping up to be a strong weather-driven load month. Although as Dave pointed out, we have experienced increased storm restoration expenses, which are likely to offset the portion of the improved margin. Summer through mid-July, we had, just to give you just a few stats, we have had 23 days at/or above 90, normal is 12. And actually, of those, we have 4 of those days we're above 100 degrees. And as Dave mentioned in the guidance update, we are anticipating an overall uplift from weather in the third quarter if the summer holds out. Putting weather aside, I know a number of you are interested in terms of what's happening with our underlying load in the economy. So I want to give you a brief update. Temperature normalized electric load in the territory. When you look at it at a year-to-date, temperature taken out the impact of weather is relatively flat. As a reminder, we had a pretty nice bounce back in sales after the 2008 and '09 economic downturn. And we have seen a 21% increase in sales alone since 2009. We are continuing to see a trend of growth in industrial sales. And actually year-to-date in the service territory, it's a 2% increase, really attributed to auto and other related manufacturing production. For the residential and commercial classes, we are seeing very positive results in our energy efficiency programs, which have lowered the absolute load in both those classes year-over-year. For the year, we expect this flat load trend to continue, with continued energy efficiency savings offsetting territory growth. In the longer term, we're anticipating load increases close to 1% after the energy efficiency savings. Getting back to the earnings. Moving down the table, our MichCon segment had operating income of $4 million, up $7 million from the prior year. The favorable earnings were driven mainly by an accounting true-up after the completion of the initial reconciliation of MichCon's revenue decoupling mechanism. MichCon also experienced unfavorable weather in the quarter that partially offset this benefit. Our non-utility segments were nearly flat year-over-year at $29 million earnings in the quarter. Gas Storage & Pipelines is up $3 million, resulting for stronger transport and storage revenues. Power & Industrial projects is up $5 million due to REF project growth, partially offset by lower coke sales, volume and price. Energy Trading is down $8 million in the quarter due to commodity price environment that provided a lower-than-historical number of opportunities. In Appendix Slide 24, you'll see that our standard operating earnings to net -- economic net income walk. In this walk, you will see that the segment did have economic contributions significantly higher than the operating income. Now this difference represents restructuring of some longer-term contracts that will not realize net accounting benefit for a few years out. As David mentioned, we expect that our full year earnings for trading will likely be below the guidance range of $30 million to $50 million if the commodity environment we have experienced in the first half of the year continues through the second half. For the second half of the year, we do expect Energy Trading and earnings to be back-end loaded, with about $10 million of after tax benefit coming in the fourth quarter due to roll on of earnings related to prior year's full requirement deals, with minimum roll on and earnings expended in the third quarter. Lastly, Corporate & Other was up $2 million from last year due to lower interest, partially offset by higher taxes in 2012. That concludes an update on the earnings for the quarter. And I'll turn the discussion over to Nick Khouri, the last time in an earnings call, who will cover cash flow and capital expenditures.
Nick A. Khouri: Thanks, Peter. Good morning. As always and one last time, improved cash flow and balance sheet strength remains the key priority for management and Board of Directors. Through the first half of this year, DTE Energy's cash and balance sheet metrics are on track to hit our full year goals. Page 12 summarizes those balance sheet metrics. We expect to end this year within our targeted leverage and cash flow ranges. In addition, we appreciate a series of credit improvements by the rating agencies, so far this year, including an upgrade of Fitch and a positive outlook at Moody's. As discussed in prior calls, we are on track to issue $300 million of new equity in 2012, through a combination of employee compensation, dividend reinvestment and pension contributions. As Dave mentioned, DTE has been able to take advantage of historically low interest rate environment. During the last 18 months, we have issued or refinanced nearly $2 billion of long-term debt. Finally, liquidity remained strong, with over $1.9 billion of available liquidity at the end of the quarter. Page 13 provides an overview of DTE's cash flow so far this year, versus the same period last year. Cash from operations at $1.2 billion matched last year's level and we are well on our way towards full year target of $1.9 billion. As expected, capital is up compared to last year, which I will detail in a minute. All told, net cash after dividends was a positive $100 million in the first 6 months of 2012. Page 14 details capital spending. So far this year, total capital DTE is up about $100 million or 13% from the prior year. We expect increased levels of capital spending in the second half of the year and are on track to hit the prior forecast of $1.9 billion for all of 2012. In summary, DTE's cash and balance sheet targets are on track, supporting higher levels of investment across all our businesses. Now let me turn it back over to Dave to wrap up.
David E. Meador: Thanks, Nick. The results for the first half of the year are solid and on track, and I'm pleased with where we are. And that's why I'm confident reaffirming our full year operating guidance of $3.65 to $3.95 a share. As you heard, weather is affecting 2000 (sic) [ 2012 ] earnings at both utilities, MichCon to the negative and Detroit Edison to the positive. On a temperature normal basis, both utilities are on track to earn their authorized return on equity. But it's still too early for us to remix the guidance for the year, but the weather-driven favorability looks like it will offset any miss at Energy Trading. And that the weather also, if it continues as we've indicated, could push us above the $3.80 midpoint on our full year earnings per share guidance. Long term, the utility growth plans are underpinned by mandated investments at the utilities and we're seeing very nice growth potential at our non-utility businesses, and they combine together to provide long-term growth of 5% to 6% earnings per share. And as we've said, and we will always say, we do this while maintaining a strong balance sheet and strong cash flow metrics. Over the last 3 years, we've increased the annualized dividend 5% on a compounded basis. And as we continue to achieve our long-term earnings per share growth, we expect the dividend will continue to grow as well. We'll be back on the road at the end of the summer and we'll likely see many of you at either the Barclays or the Banc of America Conference in New York in September. And with that, Evelyn, we'd be happy to open it up for questions now.
Operator: [Operator Instructions] We'll take our first question from Kevin Cole, Credit Suisse.
Kevin Cole - Crédit Suisse AG, Research Division: First on Detroit Edison, can you help me think through how significant the storms were in July and if the July favorable weather was sufficient to offset it?
David E. Meador: We don't want to necessarily give you July numbers or third quarter numbers. But if you look at what played out in July and the statistics that Peter reported, we have pretty solid load. And I would just say that right now, we haven't closed the books. But it looks like about half of it might have been offset with storm cost. So there still will be net of storm and there will be some positive margin playing through.
Kevin Cole - Crédit Suisse AG, Research Division: Then Dave, in your scripted remarks, how long did you indicate that you might be able to stay out from filing a rate case on the electric side?
David E. Meador: Well, as you know, the way we've been working our rate proceedings is to stay out as long as possible using continuous improvement. And then when we do file, file for as little as we possibly can because we're very sensitive to customer rate increases. So right now, we are looking to see if it's possible to stay out as far as 2015 and we're working our way through that. And one of the reasons we're doing that is there's a Fermi securitization charge that rolls off in that time frame. And we're seeing if we could bridge our way all the way to that, I don't know if we can, but it's a goal that we're looking at right now.
Kevin Cole - Crédit Suisse AG, Research Division: Great. And then sort of last question on the REF business. If now, since you're significantly down the path, are you still targeting roughly $55 million or are you still seeing a potential for it to migrate up towards the $75 million level?
David E. Meador: It's still too early. As we've indicated, it really depends where the machines gets sited. And I know where the 7 are and we're working on the last 2. And as you would expect, we're trying to drive these machines to, not only plants that consume a lot of coal, I'd rather be at a 8 million ton per year plant versus a 2 million ton per year plant. And also plants that are going to run over the lifetime of the credit. And so we're working with a handful of our host utilities. And I can't tell you where this is going at but -- well, certainly by the time we get to EEI, we'll know by then. We'll have line of sight of where the 9 machines are going to be. And then just a reminder you, we're relocating the 4 right now. But down the road, there is still the possibility of one of those Detroit Edison machines still could get moved again and take us even to a higher ton per year plant. So that's something still down the road. But EEI, I think, will be a good line in the sand to give you an update on where it -- at least, we know the 9 will be starting in 2013.
Kevin Cole - Crédit Suisse AG, Research Division: And were any of the existing plants or target plants impacted by the, I guess, the fall in the utilization rates for coal plants earlier this year?
David E. Meador: No.
Operator: We'll take our next question from Jonathan Arnold, Deutsche Bank.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: Sorry, this is to revisit your comments on guidance, but just to make sure I understand fully. I think you said that you would need the favorable weather to continue in order to push you above the midpoint. Do you mean by that, you have to continue to have above average weather for the rest of the summer or just not see what you've already had flowed back?
David E. Meador: Kind of the context as I think about this is we had warm winter, which was almost third standard deviation warm winter, warmest winter on record. We're now having the warmest summer on weather and it's brought some storm. So we're just signaling that things look really positive right now. But also just reminding all of us that we've got a lot of year ahead of us that could bring either great weather results or not. So things look pretty positive right now, and we'll be able to get a better sense of this as we get through the summer months.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: But if you had normal, say, from now through the rest of the summer, is that -- would you still be tracking ahead of the midpoint? I guess that's my question.
Peter B. Oleksiak: I think, Jonathan, as the you mentioned, the dynamics is both the weather and the storms. So normal weather, normal storms actually would provide an uplift for us in the third quarter going forward.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: So your above midpoint statement would be correct even if we were normal from here?
David E. Meador: Yes.
Peter B. Oleksiak: Yes.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: Okay. That was great. And then on the Power & Industrial with this acquisition that you're doing from Duke, I think you said it was going to, more or less, double the size of the business. How should we think of that in terms of the target? Is this kind of -- with this acquisition, you're going to achieve most of what you're trying to achieve in that business? Or is there kind of incremental stuff you're working on that potentially you'd take that range up as you close on this, and then maybe do whatever else you're working on?
David E. Meador: If you recall, we showed charts in some of our roadshow packages that would indicate that Power & Industrial is targeted to earn $55 million this year and our goal is to get it to $125 million. And we had a stairstep up to say, here's how much of that growth will come from REF, here's how much of that growth would come from the wood-fired plants, and then there was still some whitespace. And I would look at this or describe it as it's filling in about half of that whitespace between now and 2016. And also, just to clarify, I'm doubling the size of the business. It's doubling basically our on-site energy business, a line within the Power & Industrial group.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: So it's a piece of the puzzle, basically?
David E. Meador: Yes. Piece of the...
Peter B. Oleksiak: Yes.
David E. Meador: And it just fills in some of that whitespace.
Operator: Moving on, we'll hear from Brian Chin, Citi.
Brian Chin - Citigroup Inc, Research Division: I know you guys have -- the MichCon rate case application has been out there for a little while. But in one of your summary slides, you had said that both utilities are earning close to their allowed ROEs. Just a big picture rationalize again, why is it that we're going in for a rate case with MichCon, when the utilities seems to be earning close to its authorized ROE under temperature normal conditions?
Peter B. Oleksiak: A couple of things. First is, it really is to true-up our underlying load. We do have decoupling mechanism, but you need to go on periodically to true that up. The other is we are spending more than the depreciation, actually, we're filing here with the infrastructure -- stepped up infrastructure around our main line replacement and move out program. So we're proposing a mechanism for that and recovery around that. So that's the other need in going for a rate case.
Operator: We'll now hear from Mark Barnett, Morningstar.
Mark Barnett - Morningstar Inc., Research Division: I was curious if you could provide a little more detail. You mentioned, obviously, some of the long time frame for maybe sorting out the decoupling issue and you had mentioned that there are some alternatives that you're considering. Could you talk a little bit about what those might be?
David E. Meador: As I indicated, the MPSC has until Monday to either appeal this decision to the Supreme Court or not. If they choose not to appeal, we're prepared to make a proposal to them that would be public next week. And then we would, obviously, have to get into discussions with the staff on that issue. So I would prefer to wait until next week. So the way this will sequence out is that if they do not appeal, we will be making a filing with them next week and we'll 8-K that so you'll be aware of what we're thinking about.
Mark Barnett - Morningstar Inc., Research Division: Okay. I appreciate that. And I guess just a second question on the regulatory front. With the 11% requested ROE, have you had any or much discussion I guess around that number yet? And are you getting any pushback on that figure based on some CAPM-based methodologies or can you talk about that at this point?
David E. Meador: It's really way too early in the process. If look in -- I think it's in the Appendix. We have a schedule for that MichCon rate case. So we filed in April, staff testimonies is not filed until September. And then this case will play out in the fall. So other than saying that we stand by our filing and our methodology right now, there's not much else I can say. And I think you'll have to wait and see where the staff takes their position in the fall. And then, certainly, we'll talk more about it in the fall as it evolves. But we always, through the rate proceeding, will stand by our numbers.
Operator: We'll take our next question from Kevin Fallon [ph], [indiscernible] Capital Management.
Unknown Analyst: Just a question on the portfolio that you guys are buying, the $200 million. Are you expecting to earn above utility authorized returns on the $200 million or smaller equity component?
David E. Meador: So the way we described this business line, that's our energy services business line, that we already do this. So it's where we own and operate assets like wastewater treatment and a variety of energy assets that include compressed air and things like that. We target a 9% to 10% IRR in this business line. And it's slightly above a return that you would see at the utility. I've always referred to this as our private utilities, so we get slightly than better utility returns. I don't have to go through rate cases. It's not exposed to weather. It's been a nice stable earner for us.
Unknown Analyst: So you should earn that on the full $200 million?
David E. Meador: Yes.
Unknown Analyst: Okay. And on the REF plants that are being, either relocated currently or under contract to be relocated, can you give the tonnages that are on those 2?
David E. Meador: No. We're not going to do that at this time.
Unknown Analyst: Okay. Is that an EEI update type of thing?
David E. Meador: It depends where we are on the other 2 machines. Obviously, as I'm negotiating with various counter-parties, I think we're just not going to provide that detail yet. And possibly at EEI, and if not, then it would be after the first of the year when everything is sited and up and running.
Unknown Analyst: Okay. And the last question, in the slides you indicate that you expect to earn your authorized ROE on a temperature normal basis. Does that mean that Detroit Edison this year, it's possible or likely even that you over earned this year because weather is so strong?
Peter B. Oleksiak: I mean when you look at authorized returns, it always is on a temperature normalized basis. But there is -- as we push it above the upper end of guidance, obviously, our returns will go above that authorized return.
Unknown Analyst: So the strength at Detroit Edison this year, it's the weather which pushes you above your authorized and that's it?
Peter B. Oleksiak: That's correct.
Operator: [Operator Instructions] And we'll take our next question from Andrew Weisel, Macquarie Capital.
Andrew Weisel - Macquarie Research: You already touched on most of my questions, but I just got 1 or 2 kind of more bookkeeping ones. Can you quantify the weather impact in 2Q, both versus the prior year and in the other normal weather assumption that you had originally embedded in guidance?
Peter B. Oleksiak: For the Q2, it's $21 million just for the quarter for Detroit Edison alone. And if you look at it, and actually in terms of the weather impact, last year, we had a decoupling, so actually it was kind of brought back to temperature normal. That $21 million really represents our deviation for temperature normal this year.
Andrew Weisel - Macquarie Research: Okay. Got it. And then lastly on the corporate impairing, there's no real change to the $54 million guidance? The refinancing, if I recall was late June, so would it be fair to say that, that number could come down in this year and future years? And maybe any other thoughts on the trajectory of that going forward?
David E. Meador: Right now, there is net interest savings that will flow through that. But there is some other items that possibly could offset that from time to time, including some tax items that flow through that. So for now, we're holding at that number. And I think the appropriate time for us to give you an update on the trajectory going forward would be when we provide 2013 guidance. But I think in general, it is probably going to be about at the level it is.
Operator: We'll take our next question from Paul Patterson, Glenrock Associates.
Paul Patterson - Glenrock Associates LLC: Just on the sales growth and weather, I guess, impact. I was a little confused. When I'm looking at the supplemental slides, it looks like residential sales growth is down 1%. And I assume that's with this hot weather. Commercial looks like it was up. And at least I didn't -- I didn't follow through with the comments that you guys had in terms of what's driving in terms of -- the numbers I thought you guys were mentioning were a little bit flatter, so could you elaborate a little bit on that for me?
Peter B. Oleksiak: Yes. As you mentioned, from a weather perspective, the residential segment, when you look at the first quarter and with the warm weather we had, it really impacted the MichCon, but it did impact the electric segment as well. There's a lot of heating related load. So when you look at it all in, compared to last year, actually in a temperature normal -- I mean, with the weather basis actually we're down. So really the heating load impact that we saw in the first quarter was partially offset with the cooling demand that we saw on the second quarter. But some of that just reflects on the weather we had last year. Last year we had a good winter also, as well as a relatively warm second quarter. But when you look at, even for the year for residential, when you look on a pure temperature normal basis year-to-date actually we're above. So we're seeing positive impact at a comparative basis, the temperature normal, but a decline year-over-year given the strength of the weather last year. And then from an earnings perspective, really what matters is where we are versus the temperature normalized basis. So last year really was swept by the revenue decoupling mechanism.
Paul Patterson - Glenrock Associates LLC: Sure. Okay. But then when we look at this -- I mean, in other words, so last year was warmer than this year -- this last Q2 2011 was warmer than Q2 2012?
Peter B. Oleksiak: We were actually warmer this year. But the first quarter, we had more strength of weather-related sales for residential.
Paul Patterson - Glenrock Associates LLC: It looks like residential went down on a year-over-year basis Q2 2011 versus Q2 2012?
Peter B. Oleksiak: Right.
Paul Patterson - Glenrock Associates LLC: I'm just wondering, it does seems like it's a little counterintuitive if weather was warmer. I mean -- or I could follow-up offline, I guess. Just, also, was there a higher peak this year, given the record setting temperatures or did you guys not have a higher peak?
David E. Meador: We don't have that number with us. And I think that the territory peak was higher, but I think our load was comparable. You're talking through June. I think July is going to be different. And I think we're going to see that we're hitting new peaks in July. But we'll, obviously, update that on the third quarter, Paul. On load, just an observation coming out of 2008, we went down really hard, as you know. And then we saw a very significant bounce back in 2009 and then '10 in our industrial load. Commercial load lagged that a little bit, so we didn't see the up in 2009. We saw a big up in commercial load and in 2010. And then residential load over a long period of time has surprised us, in terms of its strength. So when we look at broader economic indicators here, we're seeing a lot of positive signs. We're looking as you are looking at these quarter-over-quarter numbers and saying does that indicate a trend that we should be concerned about going forward. We don't see that. But we're still seeing long-term load growth. It will be modest and won't be as robust as what we saw possibly historically, but something over 1%.
Paul Patterson - Glenrock Associates LLC: Okay. And then just on the rate proceeding, just to make sure I understand this. If your new proposal, I mean we'll -- we don't know whether or not -- what's going to happen with the decoupling. But it looks as if you're able to get your new proposal that may or may not be released next week, depending on what happens with the MPSC's action with the Supreme Court. You guys think that you may be able to stay out for an electric rate case for how long was it again?
David E. Meador: Well, our goal is to see if we can stay out until 2015. This piece would only be one of several things that we would have to work on. So it's not just using the $127 million. But it's certainly, it's an anchor to that, that says if we can get agreement not to return that to net income but to use that, it could be part of a series of things that we do that would allow us to stay out for a while.
Paul Patterson - Glenrock Associates LLC: Okay. And then just finally on Slide 24, your Trading reconciliation. If I'm understanding it correctly, it looks like you guys are pretty much where you were in 2011 on Trading, except for these accounting adjustments, except for the sort of accrual treatment with certain contracts and what have you. Is that -- am I getting that pretty much correct?
Peter B. Oleksiak: That is. But I did mention, if look you at that difference in terms of the economic versus accounting, those -- it really is related to some longer-term contracts to restructure, so we'll see the accounting benefit. But it will be a few years out. So you're not going to see that this year or next year.
Operator: We will take our next question from Jim von Riesemann, UBS.
James D. von Riesemann - UBS Investment Bank, Research Division: Could you just talk a little bit about the future, in terms of cash flow. What your outlook is for say 2013 and beyond, both on a cash flow and maybe some of your funding needs, both the debt as well as the equity?
David E. Meador: We provide a 3-year look, we usually do that when we come out at EEI. So if you recall, what we had laid out was that in a sources and uses that over a 3-year period, we needed $1.2 billion. And that was going to be $300 million of equity each year and that would be done through our benefit plans and our pension plans, so DRIP and pension. And then there was another $300 million that we were earmarking for asset sales, which is predominantly the Barnett sale.
James D. von Riesemann - UBS Investment Bank, Research Division: Is it safe to assume some of the basic premises in the business are going to be the same going forward in terms of like the internal plant, et cetera?
David E. Meador: Yes.
Operator: We'll now hear from Jonathan Arnold, Deutsche Bank.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: Sorry guys, just a quick follow-up and sorry if I missed this. Did you disclose what the amount of the RDM true-up of MichCon was in the second quarter? Or could you, if you didn't?
Peter B. Oleksiak: That's around $10 million pretax. It's about $11 million.
Jonathan P. Arnold - Deutsche Bank AG, Research Division: $11 million pretax. Okay. Normal tax rate on that?
Peter B. Oleksiak: Yes.
Operator: We'll now hear from Kit Konolige, BGC Financial.
Kit Konolige: So a couple of strategic items. Energy Trading obviously continuing to track below your expectations. Is there any thought about whether you want to remain in that segment indefinitely at this point?
David E. Meador: We are going to remain in the segment. As we have indicated, we like this business. It's not part of our growth plan. It provides a lot of market intelligence. It provides a lot of hedging and other activities to other parts of the business and it's over long period of time. It's thrown off a significant amount of cash to the parent, so we like that. And the market opportunities are soft right now, so it's just they're struggling to generate margin right now. And it's a business where we have to deal with what the market brings us necessarily. It's not a business that I'm going to push them hard. So even though I'm not happy with the net income, the team is doing everything they can do in this environment. So we're not going to change our risk profile or get more aggressive just because I don't want to change -- chase net income.
Kit Konolige: Okay. Good. And then so for the Barnett assets, looking at a sale there by year end. I mean can you give us some insight into, do you have that process underway now or are there benchmarks or milestones that we should be looking towards?
David E. Meador: Well, what we have laid out was that we wanted to prove up the properties and we had actually a pretty aggressive drilling program that was going on through August. So we went from 1 rig to 2 rigs to 3 rigs. For a company our size, that's a lot of rigs drilling. And they will be done drilling in August and complete their wells in September. And we're already starting the process of setting up the data room and so on. So all indications right now is that we'll engage in the process starting in the September time frame.
Kit Konolige: And one final item separately. Do you have some idea of a run rate in net income or EPS from the savings on interest rate, the refinancing flowing through the debt into the income statement?
David E. Meador: Long term, the number is in the $25 million to $30 million range.
Kit Konolige: In a net income?
David E. Meador: That's pretax savings. So that's DTE, so that's across the enterprise.
Operator: Moving on, we'll hear from Vedula Murti, CDP Capital.
Vedula Murti: I was wondering in terms of following up on Kevin's question on P&I acquisition here. Would it be reasonable for us to think on $200 million of capital investment, basically, 50-50 and maybe a couple of 100 basis points superior return on equity versus a utility return, in terms of kind of a baseline?
David E. Meador: I would hold back on this right now and I'm not going to provide any more details. We've not closed on the transaction yet. First of all, and it's possible that there's a number of projects here that are evaluating that it might not come in into the final close. And there are also, and we'll lay this in more detail, this is a project that has an accounting amortization that's front-end loaded. So the earnings grow over time. That's very strong cash flow from the beginning, but there's an accounting nuance here. So I wouldn't take that high-level approach and I'm not prepared to -- it's too early to give you more details on that right now. I would just caution you not to do that and then suggest, again, the way I'm thinking about this as we showed you the whitespace and the growth for the P&I business. And that long term, this fills in about half of that whitespace if you want to kind of size the net income off this investment.
Operator: We'll now hear from John Ally [ph], AK Capital [ph].
Unknown Analyst: Just a couple of quick follow-up questions. Your plan for DTE is to stay out as long as possible. When would you file and what year would that be effective?
David E. Meador: Well, if we're successful in working out everything that we've have to work out, we would file in 2014. Now the caveat there is, again, in spirit of doing everything we can for customers while achieving our financial objectives, I'm articulating this as a goal. If we are not able to work out everything we want to do, we'd be filing earlier. But right now, we're just articulating that as a goal of push the filing out to 2014 for new rates in '15.
Unknown Analyst: Understood. And on the Barnett, is the $300 million still a good number to use as a bogey?
David E. Meador: Yes, for now.
Unknown Analyst: Okay. When will we see a more defined, I guess, update on that?
David E. Meador: Possibly, third quarter or EEI we'll be able to give you some indication. It really depends how quick the process goes.
Operator: We'll now go to Kevin Cole, Credit Suisse.
Kevin Cole - Crédit Suisse AG, Research Division: Just one quick follow-up on the electric rate case. I guess given the FERMI securitization roll off of around $300 million in 2015, do you think it is possible for this netting effect to fully offset your CapEx plan between now and then to execute a near 0% customer bill increased rate case?
Peter B. Oleksiak: Kevin, as we're working through our own planning, we think this was a piece of the puzzle. As you know, we are always looking at cost and how do we kind of to do our own self-help in this space. So it will be a combination of the 2.
Operator: [Operator Instructions] And there are no further questions at this time. Mr. Meador, I'll turn the conference back to you for any additional or closing remarks.
David E. Meador: Well, thank you again for joining us. And as I indicated, I think that the next time we'll see everybody first at the Barclays Conference and then the BofA Merrill Conference a couple of weeks after that. And wish you a nice warm summer and we'll talk to you in the fall.
Operator: And that does conclude today's conference. Thank you all for your participation.